Sebastian McCoskrie: Good afternoon, ladies and gentlemen. Welcome to Cliq Second Quarter 2024 Results Presentation. I am Sebastian McCoskrie, Cliq's Head of Investor Relations; and I will be hosting today's earnings call. Luc Voncken, our CEO, will present the strategic and operational highlights of the quarter, and Ben Bos, Member of Cliq's Management Board, will present the financials. Afterwards, I will be reading out the questions you have kindly sent in via e-mail. Please note the disclaimer shown and that this call is being recorded. The visual, audio and/or transcription of this call may be published, including any of the data arising there from. If you have any objection, please disconnect at this time. Allow me now to hand over to Luc, who will start today's presentation. Luc, over to you.
Luc Voncken: Thanks, Sebastian, and good afternoon, everybody. Ladies and gentlemen, as you probably know, I'd like to be clear and to the point. Our second quarter performance was pretty disappointing. As I already said, in May 2024 is a year of transition and transformation, a year of changing our company so that we can grow sustainability in the future. It's a year of change to become better in what we do best, a year of short-term pain for long-term gain. And that's why we had to do reality check and revise our guidance, both for the short and the medium term. Our sales were down, the average lifetime value declined and our new sales channels did not yet generate enough new sales to get back as sales growth again. Unfortunately, you as well as I need to be more patient before we see the real sustainable changes we are currently making translate into our numbers. Nevertheless, Ben and I are fully engaged to achieve our updated short and medium-term guidance and that's Cliq back on its growth path. But let me quite clear, and I'm sorry to have to repeat myself here. Rome wasn't built in a day. Getting back on our growth track is taking longer than we originally expected. 2024 is a year of transition, and we need more time to successfully make the necessary changes to our operational processes, technical platform and organizational structure. We have successfully evolved and developed our business model over the years, as you can see here on this slide, and our track record has been remarkable. Ladies and gentlemen, and our key objective is to get back on the growth track, become stronger and more efficient to grow sustainably and profitably going forward. Allow me now to present to you some of our operational highlights. So what is you may ask currently holding back our company growth? First and foremost, adding new sales channels to our major sales channel, Google Display, is causing more operational challenges than originally expected. And the process is not running as smoothly as we had planned. For example, our marketers need to handle the new sales channels by navigating through unchartered waters and managing the campaigns differently. We are getting there, but it's taking time. As the credit card companies facilitate easier refunds, more customers are churning out of our services, which has an impact on our existing customer base as well as in the new acquired customers. However, churn is not new for us as we have always been faced with a high churn since inception of our company. As a fact, churn comes with our business model, as you know. We just need to acquire more new and profitable customers than we did previously. Remember, our analogy with a fast food restaurant turning more tables per night than the fine dining establishment. That's what we need to do, turn our tables more times during the meal served, and that's why we have the Magnificent Seven, because this needs time and as I just already mentioned. At Cliq, we always strive for profitability, though we decided to lower the target cost per acquisition, the so called CPA for new customers and align it to the lower lifetime value. The lower target CPA led in the billing systems of our sales channel partners to less sales. In a nutshell, we needed to put more focus on profitable sales growth than on just sales growth. Nevertheless, we have a great toolbox of solutions and our turnaround plans are in place and being executed as I speak. But again, it takes more time than we initially anticipated. We are transforming and restructuring the group with Fit for the Future with our new Commercial Director we are transitioning to new magnificent sales channels and looking into new monetization models and possibilities, including ad-supported video-on-demand, so-called AVOD, as well as from leads and third-party offers. As a quick recap, our transformation program Fit for the Future has two defining roles: firstly, to make us more efficient and secondly, more productive. On the cost side, we are making inroads and aside from using our target CPA to improve the gross margin. We are also looking closely at our SG&A expense. We are viewing all our personal expenses in order to streamline the organization and thus to become Fit for the Future. Furthermore, we are reviewing our deployment of external service providers. And additionally, we will be more cost efficient from merging our tax systems. Cost cuttings in the first six months included amongst many others, our cancellation of three sponsored sell-side research contracts, Warburg, NuWays and Montega, which were not adding any value for us. All in all, our Fit for the Future program to deliver significant recurrent annual cost savings. And as I said, profitability is first and foremost at Cliq. Operationally, Fit for the Future is set to deliver productivity gains supported by a streamlined organizational structure and a highly efficient project management support team. Our Magnificent Seven sales channels are gaining traction and in Q2 affiliates and search engine advertising campaigns are delivering promising results. New content from verticals and for hookups is best essential for attracting new customers to our services. And we expect our teams across all the divisions at Cliq to become more aware of the transformation process and progress and become more effective going forward. Furthermore, we are exploring new ways to monetize our customer data as well as possibly offering third-party products. But we like to first test our opportunities and then we commit. Innovations are important with Cliq, and we launch new products like subscription-based file convert services to increase both our reach and our conversion in new regions as well as in existing countries. Just recently, we launched an IE powered entertainment portal and now offer cloud stores as an additional vertical to hook up more new customers. All in all, we want to generate more predictable and more profitable sales in the future. Our latest content signing is WatchMojo. Their reach is huge and their YouTube channel is subscribed to by over 25 million users. We will be able to show over 24,000 videos with a daily refresh of five new videos every day. The nature of the content is both informational, as well as entertaining, with lots of pop culture videos, top tests, demos and trivia, which creates a lot of new marketing hookups. A great library addition if you ask me, and one that will attract new sign-ups via our new sales channels. Ladies and gentlemen, the results for cliq.de were disappointing for me. We had wanted to become a relevant player in the German streaming market with our flagship service, cliq.de, a niche offering for price-conscious journals, but we need to refold and thereby stick to what we really do best, namely performance marketing. Cliq.de never took off as we had planned. The marketing was too expensive and the conversions were lagging. However, we learned a lot, especially how not to do certain things. Cliq.de has helped us review our positioning and refocus our activities. We are developing numerous monetization possibilities. And thanks to Cliq.de, we will tap and re-tap into select markets with an updated business model. The content offering will focus on movies and sports also via FAST channels. FAST stands for free ad-supported streaming TV and a channel’s primary offer programming in the live linear TV format to anyone with a smart TV or a mobile app. We will no longer be promoting Cliq.de and in the coming months, we plan to launch an upgraded flagship service in the U.S. On that note, let me now hand over to Ben to present the financials.
Ben Bos: Well, thank you, Luc. And ladies and gentlemen, a warm welcome also from my side. As Luc already mentioned, our performance in Q2 was disappointing. Sales in the second quarter were down 7% quarter-on-quarter, as you can see here. But importantly, the decline is decelerating. The two main reasons for this decline were like in Q1, higher churn, which resulted in lower lifetime value. Just to recap, churn remained higher due to a change in the way the credit card organizations enable refunds. And as a result, our churn rate has increased and will structurally remain so. This has impacted both our sales development and the expected lifetime value. The expected average lifetime value of our new customers, however, is showing signs of stabilization. We recorded €78 for the second quarter versus €81 in Q1 and €87 in Q4 last year. This demonstrates our ability to adapt our business as market circumstances required us to do so. Unfortunately, it comes with a high impact on our results. And as Luc previously mentioned, our focus is on profitability. We will always favor margin above sales growth. Consequently, EBITDA in the second quarter was up 4% quarter-on-quarter and came in at €6 million before special items. This increase was a result of the reduction in customer acquisition costs and operating expenses executed in line with Group's focus on profitability. To provide a clear and accurate presentation of our core performance, EBITDA has been normalized for special items. These normalizations predominantly account for costs linked to the Group-wide transformation program, Fit for the Future, including corporate restructuring and tax optimizations. The special items compromise also temporary consultancy and contractor costs to execute the Fit for the Future transformation program as well as staff and other operational expenses. These temporary cost will be reduced after completion of the transformation program. These normalizations ensure that the EBITDA before special items accurately reflects the Group’s ongoing operational performance and growth potential. In Q2, EPS before special items was up quarter-on-quarter by 13% to $0.45. In the second quarter 2024, our bundled content sales totaled €66 million and constituted 97% of our total €68 million of revenue. Fully in line with our Group product strategy, the single-content services sales continue to become less relevant and now make up just 3% of total sales. If we look geographically, sales in North America and Europe in Q2 2024 declined quarter-on-quarter by 4% and 90% [ph], respectively, which represent in both regions and deceleration in comparison to Q1. As explained, the churn rate rose and subsequently, the expected average lifetime value of our customer, the so-called LTC, decreased and we now have shorter average customer loyalty durations. In Europe, we have, in the past, always recorded an above average lifetime value with European customers typically spending more. So Q2’s low number of new customer acquisition, resulting from the decrease in CPA has impacted our European LTV and sales to a greater extent. Consequently, European Q2 sales in 2024 made up 21% of total group sales. In Latin America, we recorded 10% sales growth quarter-on-quarter, which was 2 percentage points higher than the sequential sales growth in Q1. So let’s go to the income statement. EBITDA before special items in the second quarter increased as a result of the reduction in customer acquisition costs and operating expenses executed in line with the group’s stronger focus on profitability. The corresponding EBITDA margin improved to 8%. As mentioned previously, group-wide, the LTV was down quarter-on-quarter by 4% to €78 mainly due to the higher churn rate. The higher customer churn rate also resulted in greater refund related costs, which, in turn, kept our other cost of sales elevated on the Q1 level. However, both our personal and other operating expenses decreased quarter-on-quarter, thanks to the Fit for the Future cost saving pressures and gaining traction in Q2. So despite the drop in sales, we delivered a higher EBITDA before special items than in the first quarter. The special items related to costs incurred from the group’s transformation program and amounted to €2.6 million on EBITDA level. The normalizations were affected in the line items other cost of sales, personnel and operating expenses. Bottom line, the profit in the second quarter before special items came in 3% higher than in Q1 at €2.8 billion, and EPS was €0.45. The customer acquisition cost, the decision to lower the customer acquisition, CPA was deliberately taken to put a stronger focus on profitable sales. The CPA was brought more in line with the lower lifetime value of our customers, which led to less new customer acquisitions. Consequently, in the second quarter 2024, we spent 16% less on acquiring customers than in Q1. Almost the whole total customer acquisition cost amount of €25 million was directly allocable to new subscribers to our subscription service and this accounted for and capitalized in the balance sheet at contract costs. In percent of total sales, the customer acquisition costs for the period improved quarter-on-quarter from 43% to 41%. Moving on to our cash flow. The cash flow from operating activities during the second quarter was back to positive territory and amounted to €0.8 million inflow compared to minus €1.4 million in Q1. This improvement was mostly as a result of the decrease in total customer acquisition costs. The cash outflow from investing activities in the second quarter was reduced to €1.1 million on the back of less payments for licensed content as well for investment in platform and technical developments. So as a result, our operating free cash flow improved quarter-on-quarter significantly, but it was still slightly negative at €0.2 million against minus €3.7 million in Q1. The cash outflow from financing activities in the second quarter was €3.1 million and included the €2.4 million cash outflow for the share buyback program and €0.3 million for this year’s dividend distribution. At the end of the quarter, our net cash position was €7 million. Allow me a few words on our share buyback program. We will continue to proceed with our share buyback program. And as previously communicated, the company’s objective therebyis to repurchase the maximum program volume of 650,000 CLIQ shares and not spent up to €30 million. During the first six months, the company repurchased nearly 324,000 treasury shares at an average share price of €11, which equaled 50% of the maximum buyback volume and 5% of the total share capital issued. From the July 1 until the August 2, we further repurchased nearly 94,000 treasury shares at an average share price of around €6.5. So on the next slide, you can see the monthly breakdown of our share buybacks. To reiterate, the buyback is affected by the stock exchange and extra trading of the Deutsche Börse AG and exercised independently and without the influence of CLIQ by an investment bank commissioned by us. So this bank mixed its decision on timing and amount of the individual order placements. The bank adheres strictly to trading regulations for price fluctuations both up and down, preventing repurchases, as well as in respect of trading volumes and common practice regarding the AGM. That’s also why you see here some months with less transactions. Let’s take a look at our balance sheet. Total assets showing to €147 million at the end of the quarter, and our equity ratio rose to 69%. Due to the lowering of the CPA and the subsequently decreased total customer acquisition costs, we capitalized less contract cost than in the first quarter. As a result, the balance sheet value was reduced to €44 million. As already mentioned, our net cash position at the end of June was €7 million, which was after investing over €3.5 million in buying back shares in the first half year. The increase in trade receivables was also due to higher rolling reserve balances and timing differences. The income tax payable will be due in the third quarter. The lifetime value of our customer base, our LTVCB, which represents the future review expected to be generated by existing customers over the estimated individual remaining lifetime at the reporting date, decreased in the second quarter due to the lower number of customers we recorded as a result of a higher churn rate as well due to the decrease in LTV per customer. By the end of June, the LTVCB totaled €128 million, representing our expected future revenue as an as off-balance sheet item. Allow me now to speak about our company's updated outlook. As previously mentioned, we needed to exercise even more caution regarding a full year 2024 outlook and revised our guidance accordingly. Currently, we expect in 2024 group sales to now come in between €260 million and €280 million, sorry. Furthermore, EBITDA in 2024 is to range between €10 million and €20 million after customer acquisition costs of between €80 million and €100 million. Furthermore, sales of around €325 million are estimated to be achieved in the full year 2025. The midterm group sales target is to achieve a run rate during the fourth quarter of 2026, which realizes an annual revenue of more than €200 million realizes an annual revenue of more than to €400 million going forward. Ladies and gentlemen, we've grown very fast in recent years, and it's now time for a more effective and focused group structure. In the first half year, we concentrated on optimizing and adapting our businesses and as market circumstances required us to do so. So we focused on margin rather than sales growth. And we progressed substantially in transforming our organization and setting the stage for sustainable growth in the years to go. Ladies and gentlemen, thank you for your kind attention, and we shall now kick off our Q&A session. For Sebastian, our first question, please.
A - Sebastian McCoskrie: Thanks, Ben. First off, please note that we received many questions in duplicate and triplicate, so you shall only be answering these ones. Our first question today are from Ralf Marinoni at Quirin and directed to Luc. Luc, why is business in North America is stable, while sales in Europe have fallen so sharply? What is the special problem with Europe? Is this due to the credit card companies new customer care tools, and therefore, higher churn rate?
Luc Voncken: Thanks, Ralf. As we previously mentioned, the card scheme companies change and customer care to has affected our churn rate everywhere, including North America, which has resulted in lower lifetime values. However, there is a variance between countries in the payment flow in Europe and North America, which affects both the lifetime value and also the conversions in general. Our sales in the European market were therefore impacted more than our sales in North America.
Sebastian McCoskrie: Luc, Ralf further asks, can you give us a trading update? Is the switch to new sales channels having an effect, for example, a higher expected lifetime value? Or is it too early and the situation is still difficult.
Luc Voncken: Well, typically, we don't comment on current trading. However, we are confident that the transition from Google Display will eventually get us back on a growth track. But currently, as you know, we are focusing more on our profitability than our sales growth, and we still have a lot of sales potential to tap into, but we need time.
Sebastian McCoskrie: Another one for you Luc. A Fit for Future, what specific measures are being implemented, both on the cost side and for sales growth.
Luc Voncken: Thanks for that question. We are reviewing all our cost structures, and we are aiming for a leaner organizational structure, less dependency on external service providers and also by merging our tax systems, we want to increase our cost efficiencies. Our past fast-paced growth has inflated our head count. And here, we are closely reviewing where we can become more streamlined and more effective. For targeted productivity gains, we are looking into a lot of new and exciting future revenue streams. And as I said earlier, we like to first test our possibilities before we fully commit. But rest assured, we have some great ideas and are fully engaged to realize our sales growth targets, both in the short and the medium-term.
Sebastian McCoskrie: Luc, the promotion of cliq.de in the German market was discontinued. Our marketing budgets being used for other European countries where more potential is seen?
Luc Voncken: Well, marketing budgets are always stand and evaluated on a country-by-country basis, and our goal is to make our marketing activities profitable in the short-term, and we continuously assess market potential and performance. That's what we do every day. Because the conversions were lagging on the marketing expenses were too expensive, we have decided to discontinue the promotion of cliq.de in the German market. We are redirecting our resources to other countries and where we see greater potential for growth and short-term return, including the launch of an enhanced flagship service in the U.S.
Sebastian McCoskrie: Our next questions are from Sascha Dietze [ph] and directed to Luc. Regarding the changes to Cliq.de, can you please explain the plans for Cliq.de in more detail? Which countries are you planning to expand into? And will the price structure change?
Luc Voncken: Yes. Thank you, Sascha. For the foreseeable future, we are planning to launch an upgraded flagship service in the U.S., as already mentioned. And the monetization model will include other than just subscription-based income. The pricing of the service is currently being evaluated and developed.
Sebastian McCoskrie: Another one for you, Luc, on personnel. The group had 157 employees as of the 30th of June 2024 compared to 173 employees at the end of June 2023. This corresponds to a decrease of 9%. Wages and salaries increased by 12.7% in the same period. To what extent, are the increased personnel costs attributable to severance payments? What were the other reasons for the increase in personnel costs with the reduced number of employees is a further reduction in the number of employees to be expected, what savings will result from this in 2025 and going forward, what impact on earnings possibly in Q4?
Luc Voncken: Well, a substantial part of the increase in wages and salaries is related to severance payments and provisions for terminated employment agreements. However, if you take the normalized cost before special items, excluding the severance payments, et cetera, you see a decrease in wages and salaries of 12%. And we are aiming for a leaner more rationalized and streamlined organizational structure and are further carefully reviewing our staffing requirements and other operational expenses. All in all, our Fit for the Future program should deliver significant recurrent annual cost savings.
Sebastian McCoskrie: The next question is to Ben on cash flow. What is your forecast for free cash flow in the second half of 2024. In the past, the second half of the year has always been characterized by a significant increase.
Ben Bos: Hi, Sascha. At Cliq, we do not disclose guidance for cash flow to only sales, EBITDA and total customer acquisition costs. So not on cash flow. Sorry for that.
Sebastian McCoskrie: Another one for Ben on margin. Sascha says that the focus on profitability before sales is necessary and correct. What EBITDA margin does the management expect after implementing all planned measures.
Ben Bos: For 2024, the EBITDA margin is expected to come in between 4% and 8%. Going forward, we want to increase our EBITDA margins to above 8%, Sascha.
Sebastian McCoskrie: Our next questions are from Vincenzo Scotti [ph] and for Ben, which were the three sell-side research contracts and what’s the year-end EPS forecast?
Ben Bos: Hi, Vincenzo. And thanks for your questions. We canceled our sales, signed research coverage at Warburg, NuWays so part of Hauck & Aufhäuser [ph] and Montega. We felt that the corporations we were not creating value for us, and so we decided to cut these costs also as part of our Fit for Future cost efficiencies and canceled this accordingly, the contract. Regarding the EPS guidance, as I just mentioned, only also on the question from Sascha, we only guide on sales, EBITDA and customer acquisition costs.
Sebastian McCoskrie: Our next questions are from Milo at Edison. Milo asks Luc, in which geographies are you thinking of relaunching a branded website? What learnings have you taken from the Cliq.de venture?
Luc Voncken: Well, Cliq.de has helped us to review our positioning and refocus our activities, and we are developing numerous monetization possibilities and thanks to Cliq.de. We will tap and re-tap into selected markets with an updated business model. And in the coming months, we plan to launch an upgraded flagship service in the U.S.
Sebastian McCoskrie: Luc, what do you see as the main drivers to get to your full year 2025 guidance of €325 million?
Luc Voncken: I mean the main drivers to get to our full year 2025 guidance will be our Magnificent Seven sales channels and our innovations of new products to create also new marketing funnels. And furthermore, we are exploring new ways to monetize our customer data as well as possibly offer third-party products, which we like to first test our opportunities and then we commit.
Sebastian McCoskrie: Luc, what is the strategic objective behind the WatchMojo deal? Are there other similar type deals in the pipeline?
Luc Voncken: I’ll simply put me at the strategic objective is to make our content offering more attractive. And WatchMojo is also an expert on YouTube and use their content as hookups for new customer acquisitions across various sales channels, as I just mentioned already, YouTube as a video channel. WatchMojo is a great addition to our library, and they offer lots of eye-catching content of 24,000 videos in numerous languages to five new videos every day. And the content offering includes infotainment and pop culture videos with biographs – biographies, profiles and top 10 list as well as beauty and food demos, how to do guides, interviews and trivia. Regarding the pipeline, our content licensing team is continuously seeking and partnering with new and attractive content suppliers.
Sebastian McCoskrie: Luc, our next question is from Stein Elebat [ph]. With absolute lower marketing spending and absolutely lower customer acquisition costs, which results again to a drop in paying customers, what is the strategy of the company to grow again at a certain point? Because currently, lower marketing equals lower new clients, lower EBITDA, lower marketing, a negative flying wheel.
Luc Voncken: Well Stein it's all about getting the right balance. We need to have the right people, have the right setup and attractive service and products to drive our marketing effectiveness. I do this already for more than 20 years, which we will do with also our magnificent setting, and at the same time, generate more profitable sales. We are not lacking experience in managing in difficult times. I like that because that makes us, again, put and put into fire and create new ideas for innovating our business model. It's just a matter of time before we are back on our growth track.
Sebastian McCoskrie: Ben, our next questions are from Andreas Macek. Firstly, what are the half-year EBITDA consolidated earnings, earnings per share after special items?
Ben Bos: Hi Andreas. After special items, our EBITDA amounted €4.8 million. And the profit for the period was 961,000 as well as the reported EPS came in at €0.15.
Sebastian McCoskrie: The next one is for Luc, which customer acquisition measures were less profitable in the past and why? And will they be discontinued?
Luc Voncken: Well, Andreas for our experience in Germany, with cliq.de [indiscernible] stated TV conversions and digital out-of-home advertising were way too expensive and didn't deliver the expected conversions. Our former main channel, Google Display has also over the course of recent quarters decreased in effectivity, which led us to our magnificent seven sales channels. These new sales channels will ultimately diversify our sales and put us back on the growth part we strive for.
Sebastian McCoskrie: Another one for Ben. What costs have been incurred as a result of the Fit for Future transformation program? And what exactly were the associated activities. By when is the transformation program to be completed?
Ben Bos: In the first six months of 2024, we reported special items on EBITDA level of €6 million, which were roughly split between €3.5 million in Q1 and about €2.5 million in Q2. So the main objective of the program is to fundamentally transform the group to become more focused, streamlined and goal-driven. This includes, of course, activities to improve the strategic alignment of the business operation towards bundled content streaming services, merging our tax systems to a single platform and reducing general administrative costs and strategically refuel our human resources. Furthermore, the corporate and fiscal structure has been evaluated and optimized. We expect to complete the full transformation program in the first quarter 2025.
Sebastian McCoskrie: And Andreas' last question for Ben. What plans does the management board have regarding the reintroduction of a dividend?
Ben Bos: Cliq's capital return strategy foresees either a different distribution or share buyback. As such, we will decide on a yearly basis to what extent and how exactly capital will be returned to its shareholders in the coming years.
Sebastian McCoskrie: And our last question for today is from Johannes Boesiger, for Luc. You are quoted in the Q2 financial report as saying we have made significant progress in transforming our organization. Could you please describe this progress in more detail? Please also mention any areas where you are dissatisfied with your performance so far?
Luc Voncken: Well, Johannes, the Fit for Future program is a group-wide transformation program where we started looking at how well organized we are. Do we have the best people in the right positions for the challenges we currently face as well as for the next levels we aspire to and how can we best transform this great company to be Fit for the Future growth? The transformation process is not always easy. And at times, it's also painful to let people go, but we must take rational and meaningful decisions for the sake of the company and its future growth story. That's how we have always done it and will continue to do so.
Ben Bos: So ladies and gentlemen that was our last question for this afternoon. Should you have any further questions, please feel free to get in touch with us. Thank you for joining our second quarter 2024 webcast today. Have a hopefully sunny day and all the best.